Operator: Welcome and thank you all for standing-by. At this time, all participants are in a listen-only mode until the question-and-answer session of today's conference call. (Operator Instructions). A copy of today's press release is available on First American's website at www.firstam.com/investor. Please note that the call is being recorded and will be available for replay from the company's Investor website and for a short time by dialing 203-369-3836. We will now turn the call over to Craig Barberio, Director of Investor Relations to make an introductory statement.
Craig Barberio: Thank you. Good morning, everyone, and thank you for joining us for our second quarter 2013 earnings conference call. Joining us on today's call will be our Chief Executive Officer, Dennis Gilmore and Mark Seaton, Executive Vice President and Chief Financial Officer. At this time, we would like to remind listeners that management's commentary and responses to your questions may contain forward-looking statements, such as those described on page four of today's new release and other statements that do not relate strictly to historical or current fact. The forward-looking statements speak only as of the date they are made and the company does not undertake to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in these forward-looking statements. Factors that could cause the anticipated results to differ from those described in the forward-looking statements are also described on page four of today's news release. Management's commentary contains and responses to your questions may also contain certain financial measures that are not presented in accordance with Generally Accepted Accounting Principles including an adjusted pretax title margin and personnel and other operating expense ratios. The company is presenting these non-GAAP financial measures because they provide the company's management and investors with additional insight in to the operational efficiency and performance of the company relative to earlier periods and relative to company's competitors. The company does not intend for these non-GAAP financial measures to be a substitute for any GAAP financial information. In the news release that we filed this morning, which is available on our website, www.firstam.com, the non-GAAP financial measures disclosed in management's commentary are presented with and reconciled to the most directly comparable GAAP financial measures. Investors should use these non-GAAP financial measures only in conjunction with the comparable GAAP financial measures. I'll now turn the call over to our Chief Executive Officer, Dennis Gilmore.
Dennis Gilmore: Thanks, Craig. Good morning and thank you for joining our call. I will provide a brief overview of our financial results, discuss recent capital management activities and conclude a few comments on our outlook before turning the call over to Mark, who will discuss our financial results in more detail. Total revenues in the second quarter were $1.3 billion, up 18% compared to last year. The increase was driven by growth in our commercial, purchase and refinance activity. Earnings per share were $0.31. This quarter's results included $89 million reserve strengthening for legacy policy years, which impacted our earnings per share by $0.48. Year-to-date our pay claims are down 8% as compared to the prior year, and our most recent policy is continued to perform well with ultimate loss rates with lower historical averages. The reserve strengthening was primarily related to lender claims from policy years 2004 to 2008. While claims from these years have generally declined, they have not on at the pace we expected. And while the reserve strengthening is disappointing, it does not alter our long-term outlook for the business. Setting the reserve strengthening inside, our earnings were strong this quarter as the company demonstrated an ability to expand margins. GAAP pre-tax margins in the title segment were 6.1%. However excluding the reserve strengthening, adjusted pre-tax margins were 13.4, our best margins since the peak of the most recent cycle. Our results were driven by a strong market environment during the quarter, with purchase close orders up 22% relative to the last year. The robust spring selling season has continued into the summer. And so far in July, our purchase open orders remain at peak levels of May and June, up 18% compared to July of 2012. Refinance activity was also strong this quarter, with closed orders up 12% compared to last year. However, as a result of a surge in mortgage interest rates beginning in May, our refinance orders have fallen sharply. In May, we opened 3,100 refinance orders per day, in June they fell to 2,300 and so far in July, they've stabilized at around 1,800 per day. Our pipeline of refinance orders will remain strong into August, but we're now acting to manage our cost structure in anticipation of lower closings starting in September and beyond. Whether it's uncertainty about the level of refinance volumes, we believe that the decline in refinance business will over time do more than offset by the strength of our purchase and commercial businesses. Revenues in our National Commercial division were a $133 million, up 35% from last year, driven by an increase in the number of large commercial transactions closed in the quarter. Given our deep client relationships, our unique national platform and financial strength, we are strategically well positioned in the growing commercial title insurance market. Turning to capital management, we repurchased 1.6 million shares in June and July at an average price of $21.92 per share for a total of $36 million. We purchased these shares based on our strong capital position, the long-term value we see in our stock relative to other investment opportunities. We currently have a $112 million remaining on our existing $115 million share repurchase authorization. As we look forward, I'm optimistic that housing market is in the early stages of a multi-year recovery and I'm encouraged by positive market fundamentals that are now evident in almost every market, growth in home sales, rising home prices and favorable affordability. In this improving market environment, we will continue to focus on our organic growth in our core title business by providing great service to our customers and our [goal] remains consistent to be the premier title insurance and settlement service provider in the U.S. and select markets abroad. I would now like to turn the call over to Mark for more detail review of our financial results.
Mark Seaton: Thank you, Dennis. Total revenue in the second quarter was $1.3 billion, up 18% compared to the second quarter of 2012. Net income was $35 million or $0.31 per diluted share compared with net income of $73 million or $0.68 per diluted share in the same quarter last year. The current quarter results included reserves strengthening of $89 million or $0.48 per diluted share and net realized investment gains of $0.02 per diluted share. In the Title Insurance and Services segment, direct premium and escrow fees were up 21% compared to last year, due to an 11% increase in the number of closed title orders and a 9% increase in the average revenue per order. The average revenue per order increased to $1,593, driven by 9% increase for resale orders and a 29% increase for commercial orders. Agent premiums were up 24%, reflecting the normal reporting lag in agent revenues of approximately one quarter. The agent split was 79.7% of agent premiums, an improvement from 80.3% last year. Information and other revenues totaled $171 million, up 2% compared to last year, driven by higher demand for the company's loss mitigation and title information products, partially offset by lower demand for title related services in Canada. Personnel costs were $340 million, up 14% primarily due to higher staffing levels required to support increased order volumes and higher incentive compensation driven by increased revenues. Other operating expenses were $216 million, up 14% from last year, primarily due to higher production related expenses and temporary labor costs resulting from higher order activity. The ratio of personnel and other operating expenses to net operating revenue was 71% compared with 73% last year reflecting the continued trend of improving operating leverage. In the second quarter the provision for title losses was 14.8% of title premiums and escrow fees. The loss rate reflects an ultimate loss rate of 5.8% for the current policy year and an $89 million reserves strengthening for prior policy years. The reserves strengthening for prior policy years reflects claims development above expected levels during the second quarter of 2013, primarily from lender policies originated between 2004 and 2008. Over the last few years we have experienced the general decline in claims. However, claims have declined at a slower pace than we expected causing us to strengthen our reserves. We have made many operational changes to improve our underwriting and claims management practices, which have been in place for several years now and have contributed to significantly improved claims experience. Our more recent policy years from 2009 and later have ultimate loss rate lower than our historical averages. After this reserve strengthening our reserves were incurred but not reported losses was 5% higher than our actuary central point estimate. For the remainder of the year we expect our loss rate in the title segment to be 5.8%, which is our ultimate loss rate for the current policy year. Pretax income for the Title Insurance and Services segment was $73 million in the second quarter compared with $118 million in the second quarter of 2012. Pre-tax margin was 6.1% down from 11.7% last year, reflecting a higher loss provision we experienced this quarter. Excluding the reserve strengthening, the adjusted title insurance pre-tax margin was 13.4%. Turning to specialty insurance segment. Total revenues were %84 million, up 6% compared to same quarter of the prior year, driven by a 10% increase in our home warranty business. The loss ratio for this segment was 51%, an increase from the 56% experienced last year as a result of higher weather related claims in our home warranty business and an increase in losses incurred from large single claims in our property and casualty business. Pre-tax margin for the specialty insurance segment was 8.7%. Net expenses in our corporate segment were $21 million in the second quarter, up from $19 million in the second quarter of last year, primarily as a result of higher interest expense from a senior note transaction which closed in January, 2013. In terms of cash flow, cash provided by operations in the second quarter was $209 million, up 87% versus the second quarter of last year. Capital expenditures during the quarter were $20 million, most of which is related to capitalized software development for system enhancements and conversions. Debt on our balance sheet totaled $315 million as of June 30. Our debt consists of $215 million of senior notes, $40 million of trustee notes and $25 million of other notes. Our debt-to-capital ratio as of June 30 was 11.8%. We continue to have the entire amount available on our $600 million credit facility. In June and July, we repurchased 1.6 million shares for a total of $36 million at an average price of $21.92. Of that amount, 800,000 shares were purchased in the second quarter and approximately 820,000 shares will be reflected in our third quarter financial results. I would now like to turn the call back over to the operator to take your questions.
Operator: We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from the line Bose George, George your line is now open.
Bose George - KBW: I had a couple of questions. First on the provision, so you guys said for the back half of the year, 5.8% number, should we think about something similar for 2014?
Mark Seaton: Yeah I think something similar is appropriate for 2014. I think 5.8% is kind of on the conservative end of reasonable estimates, but that's our intend for the rest of this year and of course we will evaluate it beginning of '14 but for right now I think that's the reason no assumption for next year.
Bose George - KBW: Okay, great and then just in terms of determining the adequacy of the reserve, is there any way that you could suggest for us to kind of think about the adequacy of the reserve?
Mark Seaton: Yeah. A few things I'd point out, the first thing is that claims have really followed a downward decline both on the incurred and paid for the last couple of years. So back in ‘06 or '07 when our claims were really rising, we didn't really know for sure, when they were going to peak and start to fall off and we made our best estimate, but we didn't really know. While now that we're sort of on the tail end of the credit crisis and our claims are falling, we're better able to predict what our ultimate loss is going to be. So that's the first thing I'd say. The second thing I'd say is that, it's an estimate there is a lot of judgment involved in the reserves and this quarter we're booking at 5% higher than our actually best estimates. So we feel like we're on the conservative end of the range of reasonable estimates. And the other thing that just gives us comfort is that, the economic environment is just getting all better, housing prices are rising and fewer foreclosures and those are the things that really contribute to our claims. So we feel very good about how we're positioned right now.
Bose George - KBW: Okay, great. Thanks. And then just switching to the commercial business, I mean the fee per file is up pretty meaningfully this quarter. I was just curious what grows that and just how to think about that number going forward?
Dennis Gilmore : This is Dennis. We'll have some volatility in number what drove this month or this quarter is we had a number of increases of large commercial transactions. So it's a very good quarter for us.
Bose George - KBW: Okay, great. And then let me just throw in one more. The comment that you guys made on the 9% increase in revenue per resale and 29% increase for revenue per purchase. Is that being driven by home prices?
Dennis Gilmore : The 9% on the ARPU is being driven by increase in home prices across the country.
Operator: Thank you. Next question comes from Jim Ryan. Jim Ryan, your line is now open.
Jim Ryan - Morningstar:  Just a question on your current run rate for the split between residential resale and refi in July on an open order basis, you had mentioned that it did fallen shortly, but now it's leveled up. So if you looked at July open orders, what would say the estimate would be in terms of the split between the two?
Mark Seaton: In July, it's a 48% and its come down, so in April it was 54% and May it is 62% and June it really fell off at 55%, in July and so far its 48% and looking forward to August and September we can never really tell for sure what is going to happen but at least in last couple of weeks our refi it really leveled off, so it was 48% in July and we don't think it is going to change materially from that point for next couple of months at least that we see here today.
Jim Ryan - Morningstar: Okay and the commercial where that has been one or a series of special large orders or is that something that you are seeing in the pipeline starting to build?
Dennis Gilmore: It wasn't one order; it was number of orders across the country number one. Number two, we are seeing the pipeline continue to be very strong in the second quarter and going into the third quarter. The business is performing very well right now. We see strength going through the rest of the year.
Jim Ryan - Morningstar: Terrific, and one final question and over the past couple of years, you have been raising your prices, your filings etcetera and especially on residential. Do you think you have completed that or do you see more of that to come in the future?
Dennis Gilmore: I don't see any significant price increases right now, as we look at the market but we are always looking at all market to make sure we are getting an adequate return, really what is driving the price increases across the portfolio now is rising home values.
Operator: Thank you. Next question is from Mark DeVries. DeVries, your line is now open.
Mark DeVries - Barclays Capital: First, I want to know I move back to the commercial business. Dennis, can you talk about how much more room for growth you think there is in that business, I mean it seems like the last year and half its continue to kind of exceed the expectations. I mean, is there a secular trend here whether it's just a larger potential business for you as the commercial real estate market recovers and as you see larger transition sizes in general?
Dennis Gilmore: I think there are few things. Number one, the market continued to be a very strong market for us. We look for that strength to continue through '13 and going into '14. Number two, we are very well positioned and we've got a very unique platform that we operate from. We've got great people and a great brand and a great financial strength right now. And so we do think we are gaining share, so it's a good segment for us right now, very good segment.
Mark DeVries - Barclays Capital: And I assume you don't expect that segment to be sensitive to rising interest rates as the residential might be?
Dennis Gilmore: There clearly could be some impact depending on what rates ultimately do but again we think that the strength of the segment will continue to show strength throughout '13.
Mark DeVries - Barclays Capital: Okay, then the next question, I understand you've got a $112 million remaining on your authorization as you mentioned but can you talk more broadly about the capacity you believe you have to return to capital in the coming years given how relatively low your leverage is now?
Dennis Gilmore: I guess what I'll do is just comment overall generally. Clearly, we have capacity. We are going to continue to look for the right opportunities to deploy capital back. First, we always look for deployment back in the business. Our next thought is any kind of strategic acquisition with the necessary return for us and then last we are going to always look at the appropriateness of our dividend and share repurchase, just kind of by way of background we double the dividend in '12 and so far through this part of the year we've deployed $36 million in repurchase program. So we do think we have capacity and we'll continue to look for appropriate opportunities to return capital.
Mark DeVries - Barclays Capital: Okay, got it. The loss ratio in the specialty business is a little bit elevated this quarter, is there anything worth calling out there?
Dennis Gilmore: Really, two things, in the home warranty business, we just experienced a very hot second quarter and when we have anyone of our markets, [cap issue] was over 105 for sustained period of time, we're going to experience a higher claim rate and then on the P&C we just had an increase in large non-related or non-coordinated large commercial claims. So no real trend there, just a number of large claims in the quarter.
Mark DeVries - Barclays Capital: Okay, is the 50% loss ratio, more in line with what we should expect longer term in that business?
Mark Seaton: I would say that for the overall specialty insurance segment, low 50s, 50% to 54% is typically what we've run in the last several years but that's obviously a number that depends on rent related things but I would say somewhere between 50 to 54 as a normalized loss rate for specialty.
Mark DeVries - Barclays Capital: Got it. Just one last question. Given that this quarter you produced one of the best pre-tax margins you've seen in a while. Are you seeing anything, particularly as a result of lot of expense saves you've put through that make you optimistic that you might be able to manage to an even better success ratio than the 50% you tried to manage to. As revenues rise, you think there is a potential you could add less than kind of $0.50 on the dollar of expenses?
Dennis Gilmore: We're not going to guide you a different number at this point. That's a pretty aggressive number, both on the way up and on the way down. But more broadly, we're very optimistic, just when we look forward, leasing to this market ultimately will be smaller next year but turning more and more to approach this market, which is clearly a favourable market to us.
Mark DeVries - Barclays Capital: Okay. Thanks for your comment.
Dennis Gilmore: Thank you, Mark.
Mark Seaton: Thanks Mark.
Operator: Thank you. Next question is from Joe [Jelson]. Mr. Jelson your line is now open.
Unidentified Analyst: Hey guys congratulations on the good operating quarter and I just had a detailed question on within your title business, what the trends are in the foreclosure title business, I know that's a highly profitable area for you and I just wondered, what that bid during the quarter and what outlook is for that going forward? Thanks.
Dennis Gilmore: It's kind of a mixed bag actually. We're seeing our TSG our title foreclosure work dropping as the foreclosure crisis moves further, as it continues to improve there. We've seen our modification type work go - increase, so it's a mixed bag and we'll probably see those trends continue through '13 and the '14 and we continue to think that the overall foreclosure volumes will decline, but we're doing a lot of modification type work right now.
Unidentified Analyst: Okay. I mean just generally speaking, what can you give me a sense of the profit margins in that versus the normal purchase business?
Dennis Gilmore: No we typically don't break that out, sorry.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you. Next is from Geoffrey Dunn. Mr. Dunn your line is now open.
Geoffrey Dunn - Dowling & Partners: Thanks, good morning guys.
Dennis Gilmore: Good morning.
Geoffrey Dunn - Dowling & Partners: Dennis, you had mentioned some per day trends May, June and July the 1800 number you mentioned in July, was that refi per day openings?
Dennis Gilmore: Yeah. Jeff, what we seeing from May we were 3100 a day, in refinance and dropped into June, the 2300 and so far in July we're averaging right around 1800 right now, it looks like there's the [tenure] has stabilized around the 2526, we've been stabilizing around the 1800 level right now.
Geoffrey Dunn - Dowling & Partners: Okay. So putting it all together for the full metric, maybe purchases flat to up a bit, and you're seeing about a 500 per count per day contractions sequentially?
Dennis Gilmore: Effectively, yeah
Geoffrey Dunn - Dowling & Partners: Okay. And then on commercial which I wanted to just get a little bit more color, obviously last couple of years have been, for the last several years have been carried by a lot of work out commercial activity, what kind of mix are you seeing with respect to that ongoing work out activity versus the ongoing return to true commercial business and is there a difference in the profitability between the two?
Dennis Gilmore: We were clearly moving more to a purchase market now in the commercial business. So that trend has been happening and continues to accelerate, not significant difference in profitability between the default purchase and commercial but the trend is moving towards purchase.
Geoffrey Dunn - Dowling & Partners: Okay, great. Thank you.
Dennis Gilmore: Thanks, Geoff.
Operator: Thank you. Our next question comes from John Campbell from the line of Brett Huff. Your line is now open.
John Campbell - Stephens, Inc.: Thanks for taking my question guys. Just back on staffing, I mean it sounds like the personnel costs did spike a little bit 2Q, but some of that was probably due to that temporary labor. But if you guys could just touch on maybe staff levels just maybe year-to-date and just more generally any plans like meaningfully scaling that back as refis just coming down harder in the back half of 13?
Dennis Gilmore: Yeah. Sure. Right now we are have started and will continue to adjust our staffing levels with anything associated with the refinance transaction. So just as we go through the inventory, we'll continue to watch our costs very closely and adjust as needed with the desire to hit that success ratio $0.60 (inaudible) dollar on the way down.
John Campbell - Stephens, Inc.: Okay, great. And then just back on the reserves strengthening, I know you guys said that was mainly due to just the lender policies from '04 to '08 timeframe, but if you could just give a little bit more detail, I mean was it particular exposure made by state or maybe just more negative claims coming out of the commercial side?
Mark Seaton: No, I mean that the reserves strengthening, it wasn't really driven by commercial, there were a couple of commercial claims but that wasn't really the story. The story was just a lot of run of the mill, lender claims from those legacy policy years. In terms of by state we did a lot of claims from state to have higher foreclosure rate. So states like California, Nevada, Arizona, Florida, Michigan I would say our the states where we did disproportionate amounts of claims and that's kind of have been like that for a while now.
John Campbell - Stephens, Inc.: Okay, great, thanks for that. And then Mark, I might have missed this, but what was the current cash holding curve?
Mark Seaton: It was about $190 million.
John Campbell - Stephens, Inc.: Okay, great, thanks guys.
Dennis Gilmore: Thank you.
Operator: Thank you. Our final question comes from Jordan Hymowitz, Mr. Hymowitz your line is now open.
Jordan Hymowitz - Philadelphia Financial: Yeah, Mark, I'd just like a follow up on Mr. [Jelson's] question. What percent of your title business is foreclosure related, is it a big number?
Mark Seaton: Well, we have about else 5% to 6% and our revenue is default related of which foreclosure is a component that, so I wouldn't say it's a big component of our revenue although it's still a meaningful business.
Jordan Hymowitz - Philadelphia Financial: So it's 5 to 6 will be the most in percentage?
Mark Seaton: Yes.
Jordan Hymowitz - Philadelphia Financial: And even if it was 50% more profitable, it would be about 10% of total business so to speak?
Mark Seaton: You can look at it like that.
Jordan Hymowitz - Philadelphia Financial: Okay, thank you.
Operator: We have one more question, from Mark DeVries, Mr. DeVries, your line is now open.
Mark DeVries - Barclays Capital: Yeah, sorry, I know you've given this number on a monthly basis but do you have the percentage for the whole quarter on a blended basis of refi purchase on your open and closed orders?
Mark Seaton: Yeah, so on the quarter on the open side it was 61%, on the close side it was 62% so very similar numbers, that's for second quarter.
Mark DeVries - Barclays Capital: How does that compare to the first quarter?
Mark Seaton: First quarter was 64% on the open so went from 64% to 61%. On the close side it was 70% from the first quarter so it went from 70% to 62%.
Mark DeVries - Barclays Capital: Okay and just one other thing, I know Mark you mentioned you think that the refi is going to stabilize here I guess to be 1800 a day level in July why do you think that?
Mark Seaton: Well throughout the month of May and June our refi orders were really just falling almost on a daily basis as mortgage rates increased. And now for the last call it two or three weeks or so they've really stabilized. So when you look at daily trends they have definitely leveled off at least of the time being.
Mark DeVries - Barclays Capital: Okay, got it. All right thanks.
Mark Seaton: Okay, thank you.
Operator: There are no additional questions at this time. That concludes this morning's call. We'd like to remind listeners that today's call will be available for replay on the company's website or by dialing 203-369-3836. The company would like to thank you for your participation. This concludes today's conference call. You may now disconnect.